Operator: Ladies and gentlemen, thank you for standing by for CIGNA's Fourth Quarter 2010 Results Review. [Operator Instructions] We'll begin by turning the conference over to Mr. Ted Detrick. Please go ahead, sir.
Edwin Detrick: Good morning, everyone, and thank you for joining today's call. I am Ted Detrick, Vice President of Investor Relations. And with me this morning are David Cordani, our President and Chief Executive Officer; and Tom McCarthy, CIGNA's acting Chief Financial Officer. In our remarks today, David will begin by commenting on CIGNA's full year 2010 results and how our 2010 accomplishments position us for continued success in 2011. Next, Tom will review the financial results for the quarter and full year of 2010. He will also provide CIGNA's financial outlook for 2011. We will then open the lines for your questions. And following our question-and-answer session, David will provide some brief closing remarks before we end the call. Now as noted in our earnings release, CIGNA uses certain non-GAAP measures when describing its financial results. A reconciliation of these measures to the most directly comparable GAAP measure is contained in today’s earnings release, which was filed this morning on Form 8-K with the Securities and Exchange Commission and is posted in the Investor Relations section of www.cigna.com. Now in our remarks today, we will be making some forward-looking comments. We would remind you that there are risk factors that could cause actual results to differ materially from our current expectations, and those risk factors are discussed in today’s earnings release. Now before turning the call over to David, I will cover a couple of items pertaining to our fourth quarter and full year 2010 results. Regarding the results, I would note that in the quarter, we recorded three special items, which collectively increased shareholders' net income by $42 million after tax or $0.15 per share. These special items were, first, an after-tax gain of $101 million or $0.36 per share related to the completion of an IRS examination, primarily affecting our Run-off Reinsurance operations. The second item was an after-tax charge of $20 million or $0.07 per share related to a transaction to transfer to a third-party the remaining risk for the workers compensation and personal accident businesses and our Run-off Reinsurance operations. And the third item was an after-tax charge of $39 million or $0.14 per share related to our debt refinancing activities. Now I would remind you that special items are excluded from adjusted income from operations in today's discussion of our 2010 results and 2011 outlook. Also relative to our Run-off Reinsurance operations, our fourth quarter shareholders net income included an after-tax non-cash gain of $85 million or $0.31 per share related to the guaranteed minimum income benefits business, otherwise known as GMIB. I would remind you that the impact of the financial accounting standards board fair value disclosure and measurement guidance, all our GMIB result is for GAAP accounting purposes only. We believe that the application of this guidance is not reflective of the underlying economics and does not represent management's expectations of the ultimate liability payout. And because of application of this accounting guidance, CIGNA's future results for the GMIB business will be volatile, as any future change in the exit [ph] (00:19:41) value of GMIB's assets and liabilities will be recorded in shareholders' net income. CIGNA's 2011 earnings outlook, which we will discuss in a few moments, excludes the results of the GMIB business and therefore any potential volatility related to the prospective application of this accounting guidance. And one last item, I would remind you that CIGNA will be hosting our upcoming Investor Day on March 11 in New York City. And with that, I'll turn it over to David.
David Cordani: Thanks, Ted, and good morning, everyone. Before Tom reviews our results and outlook, I'll take a few minutes to briefly comment on our performance in 2010 and discuss how CIGNA's position for success as we step into 2011. There are really three primary takeaways you should focus on today. First, CIGNA's diversified portfolio and clear growth strategy. Second, our strong execution and performance. And third, our market-leading innovation to enhance service delivery to our clients and customers today and in the future. So let's dive in. 2010 has definitely been a year of disruption and change. For CIGNA, it's also been a year of opportunity. In the face of these challenges in the global economy and the regulatory environment here in the United States, CIGNA has delivered solid results for our customers and our shareholders. The foundation of our achievements has been the continued effective execution of our growth strategy. It is this strategy that is clear to all in our company. By going deep, going global and going individual, we have focused our portfolio on those businesses delivering the most value for our customers and our shareholders. Within targeted customer segments and geographies, we have created innovative programs and services to meet changing market demands. We've strengthened our market-leading programs to improve the health, well-being and sense of security of our customers. We've achieved all of this while maintaining high standards for clinical quality and delivering our financial and capital management goals. For full year 2010, we realized adjusted income from operations of $1.3 billion or $4.64 per share, reflecting very strong earnings contributions from each of our ongoing businesses, International, Group Disability and Life, and Health Care. In fact, adjusted income from operations increased by 16% in 2010 and we delivered strong revenue growth in each of our targeted markets. Our International segment, which includes Health, Life and Accident, as well as our Expatriate business, delivered strong top line growth of 21%, with corresponding earnings growth as well. In this context, we are fully leveraging our established global network and capabilities to expand into new geographies with differentiated products. Our footprint across the globe allows our team to bring new products to market more quickly than others. As many of you know, last year we made the strategic acquisition of Vanbreda International, which now establishes CIGNA as the leader in servicing the globally mobile individual. This transaction also enhances growth prospects for our International Expatriate business. In our Group Disability and Life segment, our results demonstrate the benefit of our leading disability management programs. These programs help employees return to work faster, which increases workforce productivity and importantly drives cost savings for CIGNA's clients and customers. We are delivering value to our employer clients, and as such, we achieved top line growth of 10% in our Disability business this year. Within our Health Care business, our results have benefited from strong clinical outcomes, targeted customer growth, as well as the industry-wide impact of lower-than-expected medical cost trend. I would remind you that approximately 90% of our medical customers are in self-insured or experience-rated arrangements. This means, lower medical costs directly benefit our corporate clients and their employees in these highly transparent programs. We've delivered good organic membership growth for our Health Care business as well. Specifically, we realized approximately 8% growth in our Middle Market segment and approximately 11% growth in our Select segment. These results demonstrate that our clients and customers recognize the value of our incentive-based programs and our integrated solutions. To complete our view on financial performance, I'm pleased with our capital management results in 2010 as well. We maintained strong capitalization in our operating companies. We deployed over $600 million of capital to fund the Vanbreda acquisition, as well as share repurchase. We made a meaningful contribution to our pension plan. And in addition, we took advantage of the current interest rate environment to refinance a portion of our long-term debt with a substantially lower interest rate. So all in, we feel very good about the strategic and financial achievements we delivered in 2010. Now let's shift gears and discuss how CIGNA is positioned for the year ahead. I'll put these comments in the context of our diversified business portfolio and our growth strategy. As we look forward, we believe the market forces will drive demand and the landscape will continue to evolve, regardless of how the Health Care Reform Legislation unfolds. As a result, the public and private health service markets are changing. The competitive environment, including care delivery models, are evolving and clients and customers require new levels of personalization and engagement. CIGNA's diversified portfolio of programs and innovative solutions here in the U.S. and abroad will enable us to meet changing customer market needs. Our success in meeting these demands will help us grow our business, both today and in the future. Opportunities resulting from the regulatory environment and the global economy align well with many of our long-standing strengths of our organization. Let me touch on just a couple examples. Over the past decades, we've continued to build our international operations from the ground up, featuring a unique direct-to-consumer distribution model that leverages affinity partnerships. Today, our Health, Life and Accident business is well established and thriving, consistently delivering double-digit top line and bottom line growth over the last several years while maintaining strong profitability. This business is also poised to benefit from quite attractive growth opportunities, particularly with the trends of the emerging middle class and expanding economies around the world. As a second example, in today's rapidly evolving marketplace, there is an increasing need for programs and services that improve health quality while reducing costs. While quality improvement and cost reduction are key objectives of health care reform, the compelling necessity to address these issues has been apparent for years. At CIGNA, clinical quality and cost-effective care have been the centerpiece of our mission and strategy for many years. CIGNA is already engaging effectively with consumers and health care professionals to improve clinical quality and health outcomes. Our accountable care organization and our incentive-based programs, which are highlighted on our last earnings call, are just two examples of the health and wellness programs that we employ to increase engagement, to improve health and, ultimately, lower costs. We've demonstrated the ability to adapt in changing markets and we will continue to adapt. In 2010, we made meaningful progress in executing our growth strategy and we carried good momentum as we step into 2011. But be assured, we are not standing still. Our focused business strategy and related innovation will continue. A key part of our strategy is to pursue additional growth opportunities beyond our current well-established market positions in high growth segments, with particular emphasis on retail or individuals. And here we mean individuals of all ages. We expect to leverage our current capabilities to serve these markets in the future. One resource we will optimize is the vast expertise we have in our international operations, particularly on alternative distribution methods and supplemental market capabilities. This distribution platform enables CIGNA to provide health, life and accident products directly to our individual customers with over 6.5 million policies enforced today. We distribute our products through telemarketing, direct response TV and the Internet rather than traditional captive broker or agent models. We have the unique ability to maximize our global expertise and capabilities in a wide range of health care systems around the world. Meanwhile, across our targeted business segments, as part of our ongoing Go Deep strategy, we will continue to innovate and provide solutions that will drive sustainable value for our customers and shareholders. Now before I turn it over to Tom, I want to reiterate just a few key points. Our 2010 results are strong and reflect significant revenue and earnings contributions from each of our ongoing businesses. I am pleased with the progress we have made in effectively executing our growth strategy, and our results are a testament to the dedication and hard work of our CIGNA team members around the world. Today, with approximately 65 million customer relationships across all of our programs, each day, our team improves the health, well-being and business [ph] (00:29:24) security of the individuals we serve. Our 2011 outlook, which Tom will discuss in a moment, represents competitively attractive results, with each of our ongoing businesses continuing to deliver strong earnings and an increase in customer base in targeted market segments. We are carrying good momentum as we step into the year, and I am confident in our ability to achieve our full year 2011 strategic, financial and operating goals. With that, I'll turn the call over to Tom.
Thomas McCarthy: Thank you, David. Good morning, everyone. In my remarks today, I will review CIGNA's 2010 results. I will also discuss our outlook for the full year 2011. As Ted noted, in my review of consolidated and segment results, I will comment on adjusted income from operations. This is shareholders income, excluding realized investment gains, GMIB results and special items. This is also the basis on which I will provide our earnings outlook. Our full year 2010 consolidated revenues were $21.3 billion compared to $18.4 billion in 2009, reflecting solid growth in each of our targeted market segments. Full year consolidated earnings for 2010 were $1.28 billion or $4.64 per share compared to $1.1 billion or $3.98 per share in 2009. This represents a 16% year-over-year increase in consolidated earnings, reflecting solid execution of our growth strategy. In health care, full year 2010 earnings were $861 million, which is slightly above the upper end of our previously communicated range. This result reflects strong membership growth and lower-than-expected medical cost trend, which was aided by our continued focus on clinical quality. We ended 2010 with 11.4 million health care members, which is 3.6% higher than at year-end 2009. Excluding the growth we had in Medicare individual Private Fee-For-Service business, membership grew approximately 3% year-over-year. As David noted, our membership growth was consistent with our Go Deep strategy, with particularly strong results in our middle market and select segments. These segments also tend to purchase on an integrated basis where we can benefit from strong margin contributions from our pharmacy, dental, behavioral and health solutions businesses. Health care premiums and fees for 2010 were up 17% versus 2009. This increase reflects net membership growth and a change in membership mix to reflect a higher percentage of Commercial Risk and Medicare-related business. Excluding Medicare individual Private Fee-for-Service, full year 2010 health care premiums and fees increased 10%. Turning now to medical cost. In 2010, we delivered medical cost trend of approximately 6%, which includes the impact of sector-wide lower-than-expected medical services utilization trend. As David noted, approximately 90% of our customers are in funding arrangements where they directly benefit from these medical trend results. Across our risk book of business, our fourth quarter medical cost results include favorable in-year claim development of $42 million after tax. Prior year claim development in the fourth quarter was negligible. For the full year 2010, the impact of favorable prior year claim development was $26 million after tax. Specific to guaranteed costs, our full year 2010 medical care ratio or MCR was 80.1% on a reported basis, or 81% excluding prior-year claim development. As expected, full year results for our Medicare Private Fee-for-Service business were approximately breakeven. Regarding our experience-rated products, in 2010, we achieved good growth in this business at attractive margins. ASO earnings in 2010 included strong contributions from our specialty businesses, resulting from our continued success with integrated programs for ASO customers. Turning to operating expenses. We remain focused on improving our competitive expense position while funding strategic investments and maintaining service levels and strong clinical delivery. Overall, we improved our operating efficiency, as medical operating expenses were essentially flat while we grew related membership and premium and fee revenue. This result includes approximately $100 million of pretax gross expense savings in 2010, driven by cost-reduction actions related to employee costs, real estate and vendor management. These savings were offset by expenses, primarily related to strategic investments, compliance costs and business volume growth. Overall, we expect continued benefits from our operating expense efficiency improvements in 2011, which I'll discuss when I provide our earnings outlook. Now I will discuss the results of our other segments. In our Group Disability and Life segment, full year 2010 earnings were $291 million. This result includes an after-tax gain of $11 million from the sale of our workers compensation case management business, which we determined was not aligned with our long-term strategy. Excluding this gain, results were in line with our expectations and reflect the strength of our Disability Management and Productivity Improvement programs. Premiums and fees for 2010 were $2.7 billion. Group premium and fees increased 6% year-over-year after excluding the impact of the termination of some nonstrategic government life insurance programs. This segment continues to deliver differentiated value for our clients and customers, as well as attractive margins. Turning now to our International segment. 2010 earnings were $243 million. This is a very strong result and reflects continued growth in our Expatriate Benefits and Health, Life and Accident businesses. International premium and fees for 2010 totaled $2.3 billion, up 21% year-over-year or 16% on a currency adjusted basis. Our Expatriate Benefits business continues to deliver attractive results, with solid membership growth and strong renewal rate actions. This segment will also benefit from the recently acquired Vanbreda International business. Our Health, Life and Accident business benefited from improved persistency and solid new sales in our targeted countries, driven by both product and distribution channel expansion. Results for our remaining operations, including Run-off Reinsurance, other operations and corporate, totaled to a net loss of $118 million for full year 2010. The full year 2010 result includes the VADBe charge taken in the third quarter of this year. No additional VADBe reserve strengthening was required in the fourth quarter. Overall, our 2010 results reflect strong contributions from each of our ongoing businesses and these businesses continue to generate significant free cash flow. Turning to our investment portfolio. We are pleased with our results in 2010. For the full year, we recognized net realized investment gains of $50 million after tax, coupled with a strong net investment income result. Our commercial mortgage loan portfolio continues to perform well. And overall, we continued to be pleased with the quality and diversification of our investment portfolio. Our strong investment management capabilities and disciplined approach to risk management have delivered solid results for our shareholders. I'll now shift to our 2011 earnings outlook. As David mentioned, our 2010 results reflect good execution of our focused growth strategy, and we expect this momentum to continue into 2011. We now have more clarity on the MLR regulations, but we will learn more as those regulations and other elements of health care reform continue to evolve. There are also uncertainties regarding future economic conditions and whether the current levels of medical services utilization trend will continue. Our outlook includes assumptions on these items, and we will monitor how they evolve throughout the course of 2011. Based on our current view, for full year 2011, we expect consolidated adjusted income from operations of $1.19 billion to $1.29 billion and EPS of $4.30 to $4.70 per share, reflecting strong underlying results in each of our ongoing businesses. This outlook assumes breakeven results for VADBe and does not include the impact of any future share repurchase activity. For our Health Care business, we expect full year 2011 earnings in the range of $800 million to $860 million compared to 2010 results of $835 million, excluding prior year claim development. This outlook reflects continued benefits from revenue growth, specialty contributions and operating expense efficiencies. Offsets to these favorable drivers include some acceleration in medical services utilization, the impact of potential MLR rebates and continued compliance costs and strategic investments. I'll now summarize some of the key assumptions reflected in our health care earnings outlook for full year 2011, starting with membership. Note that our expectations will exclude the membership losses from exits of nonstrategic markets, including the Medicare individual Private Fee-for-Service business. Based on results to date, we expect medical membership, as of January 1, to be approximately flat versus year end 2010. This reflects attractive growth in our targeted Middle Market and Select segments, offset by a second year of repositioning in our International [ph] (00:39:59) Account segment. With the balance of the year, we expect continued growth in our targeted customer segments and geographies. All in, we anticipate full year 2011 membership growth of 0% to 3%, excluding the nonstrategic market exits. This outlook reflects our expectation that economic conditions remain challenging and that the unemployment rate remains unchanged. Turning to medical costs. Our outlook assumes both acceleration of medical services utilization and the expected impact of required MLR rebates. As a result, for our guaranteed cost book of business, we expect the full year MCR to be in the range of 82% to 83%, which is approximately 150 basis points higher than the full year 2010 results, excluding prior-year claim development. For our total book of business, we expect full year medical cost trend to be in the range of 7% to 8%. These expected medical costs have been reflected in our pricing. If medical services utilization trend remains at current levels throughout 2011, there is the potential for additional benefit for our customers and our shareholders. Regarding operating expenses, we continued to pursue cost-reduction opportunities to further improve our operating efficiency with continued actions related to vendor management, employee cost and real estate. These reductions will be partially offset by expenses for strategic investments, compliance costs and business volume growth. For full year 2011, we expect a net reduction in medical operating expenses of approximately $50 million pretax based on our current outlook for membership growth and mix. So overall, we expect full year 2011 health care earnings in the range of $800 million to $860 million, which we believe is a competitively attractive result. Now moving to the other components of our outlook. For our Group Disability and Life business, we expect full year 2011 earnings in the range of $270 million to $290 million, which is consistent with our 2010 result, excluding the one-time gain on the sale of the workers comp business. I would note that 2010 also benefited from some significant favorable reserve releases. This outlook for Group assumes continued revenue growth and strong execution of our Disability Management model. [ph] (00:42:26) For our International business, we expect top line growth of 19% and earnings in the range of $260 million to $280 million, which represents continued growth on top of strong 2010 earnings of $243 million. This outlook reflects continued strength in both our Expatriate Benefits and Health, Life and Accident businesses. The outlook includes contributions from the Vanbreda International acquisition with some offset for increased investments in new market expansion. Regarding our remaining operations, including Run-off Reinsurance, other operations and corporate, we expect a loss of approximately $140 million for 2011. So all in, for full year 2011, we expect consolidated adjusted income from operations of $1.19 billion to $1.29 billion and consolidated EPS in the range of $4.30 to $4.70 per share. I will now discuss our capital management position and outlook. Overall, we continue to have a strong balance sheet and good financial flexibility. Our subsidiaries remain well-capitalized, with statutory surplus consistent with our internal benchmarks and well in excess of regulatory minimums. In 2010, we met our capital management goals. Specifically, we deployed over $600 million of capital to fund the Vanbreda acquisition and share repurchase. We made a meaningful contribution to our pension plan, and we took advantage of the current low interest rate environment and refinanced the portion of our long-term debt. We ended 2010 with parent company cash of $810 million. For full year 2011, we expect subsidiary dividends of approximately $1 billion, driven by the solid earnings contributions that I've just discussed. We expect other sources and uses of capital in 2011, including pension funding, debt maturities and debt service to be a net use of approximately $560 million. This would result in parent company cash of $1.25 billion for year-end 2011. After considering our parent company cash target of $400 million and $100 million related to outstanding commercial paper obligations, our outlook complies that we would have approximately $750 million available for capital deployment in 2011. Through February 2, we have used $75 million of the available cash for share repurchase. As we look to the future, we will evaluate capital deployment options to ensure we deliver sustainable value for the benefit of our customers and shareholders. As such, our capital deployment strategy remains unchanged. We will prioritize the use of capital. First, provide capital necessary to support growth of our ongoing operations, our Pension Plan funding and our Run-off Reinsurance business. Second, we would consider M&A activity with a focus on acquiring capabilities and scale. And finally, after considering these first two items, we would return capital to investors through share repurchase. Overall, our capital position and outlook remains positive. Now to recap. Our full year 2010 consolidated results reflect the strength of our global diversified portfolio of businesses and effective execution of our focused growth strategy. We expect the momentum from our 2010 results to position us well for good underlying growth in 2011. We are focused on improving our financial flexibility through additional cost-reduction efforts and effective capital deployment. We have a healthy capital position and our investment portfolio is delivering strong results. Finally, we are confident in our ability to achieve our full year 2011 earnings outlook, which we believe represents a competitively attractive result. With that, we will turn it over to the operator for the Q&A portion of the call.
Operator: [Operator Instructions] We'll take our first question from Matt Borsch with Goldman Sachs.
Matthew Borsch - Goldman Sachs Group Inc.: Could you elaborate a little bit if you could on where you see the potential impact from the MLR regulation in terms of potential rebates? Is that in your Commercial Risk book? Or are you hedging at all for some change in regulation on expatriate benefits?
Thomas McCarthy: Matt, it's Tom. We're projecting the impact based on the current regulations, so not trying to anticipate any changes, and it is in our Commercial Risk book, including our Group business and our Individual business.
Matthew Borsch - Goldman Sachs Group Inc.: And could you talk about what you're seeing right now, in terms of the pricing environment, both risk but particularly on the ASO side and that's my last question.
David Cordani: Matt, good morning. It's David. Relative to the pricing environment, I would say broadly speaking, no major change, as we sit here today versus six months ago or so, specific to the product lines. As you know, we are large and predominant in the ASO space. And in the ASO space, we continue to see an environment where for the base ASO service experience limited pricing power, coupled with the imperative around cross-selling and the specialty penetration. We've continued to have good luck and good progress in 2010 and we expect to in 2011 with the cross-selling leverage, which is where the total value comes together. So broadly speaking, no major change in themes, good success in the cross-selling, which is an imperative, and no major changes in the ASO price position either.
Operator: We'll go next to Josh Raskin with Barclays.
Joshua Raskin - Barclays Capital: Question just on the SG&A. It was a little bit higher than we were looking for. Maybe you could help us understand. Were there some discretionary spending, in light of sort of a favorable trend that you guys are seeing on the medical side and/or investments made for 2011? And I guess, if so, maybe you could help us understand what those specific areas were.
Thomas McCarthy: Josh, it's Tom. The spending pattern in 2010, there was a little uptick in the last quarter and some of that does reflect -- leaning in a little bit on some of the strategic capabilities investments. And typically when we're looking at medical operating expenses, we'd be talking about care management consumer engagement capabilities. We also did have some modest one-time adjustments for some asset write-offs and some intangible adjustments, but they're relatively modest somewhere $25 million or less for the quarter.
Joshua Raskin - Barclays Capital: So there was $25 million and sort of, would you call it, say, one-time write-down of assets, is that what you're saying?
Thomas McCarthy: More or less. It's a hodgepodge of one-off things. Not all write-downs of assets.
Joshua Raskin - Barclays Capital: On the rebates in the MLR. Have you guys decided on an accounting treatment for how you're going to deal with that?
Thomas McCarthy: Particularly how we're going to provide for them quarter-by-quarter?
Joshua Raskin - Barclays Capital: Yes. What sort of closure are we going to get?
Thomas McCarthy: Our approach, again, given this is a smaller issue relatively for us, our approach is going to be to provide for the result-based -- the expected rebate based on a quarter-by-quarter result. So we will not be anticipating the full year results. We'll be reporting any calculated rebate effect based on each quarter's results.
Carl McDonald - Citigroup Inc: Even though the rebate calculation is paid on a full year basis?
Thomas McCarthy: Yes. Again, it's just a more straightforward approach for us. Again, the numbers aren’t quite as significant for us, so they don't move around as much. And we found that this was probably a more straightforward approach.
Operator: We'll go next to John Rex with JPMorgan.
John Rex - JP Morgan Chase & Co: Just wondering on the Health segment, could you just specifically walk us through the role from the approximately $860 million in earnings this year to the $830 million for '11 just so kind of a components adding, the components taken away?
Thomas McCarthy: This is Tom again. I'll keep this at a pretty high level. Obviously, a couple things I’d preface this with. We are coming into 2011 with some pretty good momentum from 2010. And in case you hadn't noticed, unlike many in our sector, we're really not projecting a major retrenchment in enterprise-wide earnings rather a continued strong result, which reflects both good results in Health Care and our broad diversified portfolio. But for Health Care, in particular, there's a couple of things I think about in 2011. First, to get an apples-to-apples comparison on the growth trajectory, I'd suggest you need to consider both the favorable prior year development that was reported in 2010. So I’d make sure that comes out of the 860 before you start to...
John Rex - JP Morgan Chase & Co: Then you sized that at how much again?
Thomas McCarthy: 26. And then the impact in 2011 from both the medical lost MLR rebates and the utilization trend. And again, we cite the prior year of 26 and the impact from the MLR rebates and the utilization trend combined, approximately ballpark-ish $45 million after-tax. So I would say if you make those two adjustments, you'll get something like a mid-single digit earnings growth year-over-year, which reflects again good momentum off 2010, but also some continued investment and strategic capabilities and compliance costs in 2011.
John Rex - JP Morgan Chase & Co: So can you split for us the components? So explicitly, how much do you have baked in for rebates, so I can see what the trend offset is.
Thomas McCarthy: I'd rather not give you a precise number, but let's just ballpark, say it's about 50-50 of the 45.
John Rex - JP Morgan Chase & Co: And then just thinking about the Op expense [ph] (00:53:17) again, so you're saying you'll be net down in the Health segment in absolute spend by $50 million. Is that correct?
Thomas McCarthy: No, let me make that clear. That's reduction in medical operating expenses, as we report them in the staff supplement. We'll also have -- we expect continued growth in specialty where we like to spend money, because we great margins and we have some continued investment in the Individual segment, which is again not reflected in the medical operating expense line. And of course taxes and commissions, which are also not reflected in the category of medical operating expenses. We would hope they'd be going up with business volume.
John Rex - JP Morgan Chase & Co: So we're not going to see Op expense go down -- the Op expense line that we see just on the face of the income statement, so aside from the staff supplement, we're not going to see that go down in 2011 then?
Thomas McCarthy: I would expect it to be low growth.
John Rex - JP Morgan Chase & Co: My point being, the spend in the 4Q was the highest I've seen. I take it to a PMPM level, it’s the highest I've actually ever seen for you guys, and we keep looking for this to come down. And I know you have these other offsets, but are we ever going to see the G&A PMPM spend come down?
David Cordani: John, it's David. As Tom walked through, on the medical operating expenses, you'll see the PMPMs come down. And as Tom referenced in the fourth quarter, there were some, we'll call them discretionary investments and some one-timers that came through the fourth quarter that he referenced previously. Secondly, this is just the statistical stuff [ph] (00:54:52) -- the team is trying to break out for you and your peer group. So the medical operating expenses, the specialty operating expenses and then as we talk on I Day [Investor Day], we'll be demonstrating how we're investing in the individual business. But specifically, we'll also lay out where we're seeing the operating expense leverage in the P&L. At the end of the day in 2011, we expect for and our guidance has planned for earnings contribution from the operating expense leverage.
John Rex - JP Morgan Chase & Co: So one more thing just on this topic, so in the detail, the lines that are going up the most are the two other lines that you have in those components. Can you just talk about what was popping those in the queue then so I can get a sense of run rate.
David Cordani: First, above the line in medical operating expenses, there's an increase in other and that's generally some of the one-timers and some accruals, miscellaneous things. Below the line, so the balance of the expenses in health care, the lion’s share of that other is the increased spend for medical Private Fee for Services.
John Rex - JP Morgan Chase & Co: PFFS?
David Cordani: Yes.
John Rex - JP Morgan Chase & Co: So in the queue even the sequential move on that?
David Cordani: I was thinking about the four-year result. In the queue, there actually was some additional accrual for wind-up costs in medical Private Fee for Service, so I think that was also probably the major driver in the quarterly change, but I'm not sure of that.
Operator: [Operator Instructions] We'll go next to Justin Lake with UBS.
Justin Lake - UBS Investment Bank: First question on the International side, can you spike out what you expect of a Vanbreda contribution would be in 2011 and how that will look in '12?
Thomas McCarthy: Justin, it's Tom. I don't think we'd have any change from where we gave you some guidance last time, which was $10 million or so, $10 million to $15 million in 2010 and ramping up to possibly $50 million in 2012.
Justin Lake - UBS Investment Bank: So if I back out that $10 million to $15 million from the 2011, it looks like your International guidance is, let's call it mid- to high-single digits instead of the typical 10-plus percent. Can you talk about what the drivers there are as far as some of that moderating growth?
David Cordani: Justin, it's David. As Tom made reference in his prepared comments, we're accelerating the investments in the International because of the underlying growth rate in market expansion. So as we've referenced before, we're accelerating our new product development and our new market entree. And given the overall strength of the book, we're making some additional discretionary investments to accelerate further growth, part of what we'll walk through with you all at our Investor Day, as well as that multi-year plan. But specifically, the underlying earnings power is what you would expect of the core book and your qualitative conclusion is right in the double-digit earnings. We'll get the additional small contribution from Vanbreda in 2011. And given the power of that, we've chosen to accelerate some discretionary strategic investment around both new market entree, as well as accelerated product development.
Justin Lake - UBS Investment Bank: So as we think about 2012 getting a much bigger impact from Vanbreda then, would we expect to actually see that flow through to the bottom line or would that be spent away as well from an investment standpoint?
David Cordani: Justin, to your specific question, we'll obviously have to wait until we give 2012 guidance. But directionally you should not expect that we would be able to effectively deploy on an operating basis all of that earnings power. So as we've said on numerous occasions, we're quite excited about the underlying earnings power and underlying revenue growth power. But to the core of your question, as you ramp from the $10-plus million earnings contribution from Vanbreda to the lower end of what Tom had previously referenced, $50 million, in 2012, we view that, that will be additional earnings contribution. And we'll make some discretionary trade-off decisions, but at this point, wouldn't expect to deploy nearly all that at all.
Justin Lake - UBS Investment Bank: Second question on the other operating guidance of $140 million, after last year, that looked like you had some conservatism in there again going into this year. I count that run rate was about $90 million all in for 2010. Is there a specific driver why that would go from $90 million to $140 million? Or is that just embedding some cushion given the uncertainties out there in the world?
Thomas McCarthy: It's Tom. I wouldn't want to characterize our guidance as either aggressive or conservative. So I wouldn't want to go there. Let's just say there's some variability in the results.
Justin Lake - UBS Investment Bank: Is there anything specific you could talk to as far as why you would go from $90 million to $140 million?
Thomas McCarthy: No, nothing particularly.
Operator: We'll go next to Christine Arnold with Cowen.
Christine Arnold - Cowen and Company, LLC: So let's explore a little bit some of your underlying metrics in the Health Care division. It looks to me as if we've seen a pretty big increase in the experience rate of loss ratio. Can you tell me what you saw this year in terms of an increase and whether or not you expect that to rise next year?
Thomas McCarthy: Christine, it's Tom. That really is just reflecting the good news sales we had. And as you know, the first year results on experienced rated product tend to look worse. I know we earn into that over time. So I guess if we have another great sales year, we might see that continue. But I'd expect that would normalize in 2011.
Christine Arnold - Cowen and Company, LLC: You're looking for kind of a stable loss ratio there?
Thomas McCarthy: Yes.
Christine Arnold - Cowen and Company, LLC: And then in your embedded guaranteed cost expectations, you've embedded an increase in medical costs. How much of the increase in medical cost trend is owing to enhanced benefits and other things associated with the reform, normal flu, COBRA run off, [ph] (01:01:07) versus an underlying increase in medical trend and is there anything first quarter so far, I know it's early, that leads you to believe we're seeing that?
Thomas McCarthy: I'll just make a couple of comments and then David can follow on. First, as far as first quarter -- way too early to have any conclusions on ultimate trajectory. So I wouldn't be drawing any conclusions from any recent data. As far as the underlying drivers. There's a lot of things going on. So we do expect 2010, we won't have the same favorable result on flu as we had in 2010 so that's some dynamic – we also expect as I've mentioned in my prepared remarks that over the course of the year, we'd be on a path towards more normal medical services utilization. But trying to pinpoint the exact dynamic is a little tricky.
Christine Arnold - Cowen and Company, LLC: I guess I'm just looking for a sense for how much you expect underlying utilization to increase -- I guess, how much did you pad the medical trend expectations versus the things that you reasonably can estimate?
David Cordani: Christine, it's David. To your qualitative question, in terms of what are we seeing. As Tom noted, in the first quarter, it's too early to say, but if we step back, in Tom's prepared remarks he referenced for our total book of business, the 6% trend in 2010, and for our outlook for 2011, 7% to 8%. He referenced to John's question of the $45 million ballpark about half of that attributable on an after-tax basis to the acceleration in medical cost trend. And maybe as you go to the core of your question, from a contracting standpoint, as we look at the marketplace close, there's more facility contracts to secure throughout the course of the year. But our contracted rates, broadly speaking, are in line with our expectations. They're consistent with what we were able to secure last year and knowing where the portfolio as large as ours in some markets and in some facilities, some very favorable rates and otherwise. So our unit cost is tracking in line with our expectations. Therefore, directionally you conclude the majority of the acceleration is utilization severity base in our estimates.
Operator: We'll go next to Charles Boorady with Credit Suisse.
Charles Boorady - Crédit Suisse AG: Question on your 2011 outlook and the 1% increase, roughly, in utilization, which seems to be echoed by your major competitors as well. And I'm wondering what the basis is for that assumption or what you think a reasonable range of hospital outcomes might be for the utilization growth you see in 2011 versus 2010? I recognize we're coming out of a period of unusually weak utilization in 2009 and 2010. And I'm wondering how much Actuarial Science went into the projections for an increase in utilization and what the assumptions are for that, because so far we haven't seen real science of it, but obviously it's only January.
Thomas McCarthy: Charles, it's Tom. I think that was a pretty good answer to the question. The one thing I would point out very clearly as I mentioned earlier, the flu dynamic is pretty clearly part of the thought process and again, it would be unexpected to have the very low utilization in 2010 continue into 2011 on the flu. As far as the broader dynamic, it's still unclear exactly what the real drivers are. I think the speculation that it's related to the economy probably makes sense and you'd expect a couple of dynamics there. Perhaps the continuing improvement in the economy has some impact and perhaps there's only a certain period of time people can defer cost. So either of those dynamics. Again, there are less Actuarial Science than more subjective. But I do think it's a reasonable expectation that there'll be some normalization in trend over the course of the year.
Charles Boorady - Crédit Suisse AG: How much of that 1 percentage point of increasing utilization would be flu related if you just had a normal flu season this year?
Thomas McCarthy: I wouldn't really have a number on that off the top of my head.
Charles Boorady - Crédit Suisse AG: Just on SG&A expense. Do you, as a company, track the SG&A expense specifically related to health care reform? And if so, can you give us a sense for how much unusual spend related to health reform did you incur in the fourth quarter and are you baking into your guidance for 2011 G&A?
David Cordani: Good morning, it's David. The answer is yes with a caveat. So there's some direct expense as you would anticipate by the way the reform is put together, enabling technology, compliance-related activities, specific programs. And we seek to track that. I believe we've articulated for 2010 order of magnitude $25 million after-tax [indiscernible] (01:06:11) impact of that. As we step into 2011, that type of a run rate of direct cost goes up some. And then you have the portion of the cost that you're not directly tracking to the little bits and pieces of everyone. So you could draw some judgment that on an operating expense basis, save the rebates that Tom previously referenced, it could range about 2x that in 2011 as we're stepping forward. And again, we're managing the program, a portion of that pretty directly but there's bits and pieces scattered throughout a company our size.
Charles Boorady - Crédit Suisse AG: David, I know you generally would give one-year guidance at a time. But in light of the major changes in 2014, called for by PPACA. Can you sort of lay out for us the multi-year projection of that $25 million you set a little higher in 2011. Does it stay at about that level through 2014? Or is there a point where you have to meaningfully increase that to either retool your systems or otherwise invest for the post-exchange world?
David Cordani: So really, Charles, a lot is taking place now and a lot of dynamics within the marketplace. Our intent would be, as we get together for I Day [Investor Day], about a month away, to provide, as we always do, as much transparency on our forward-looking thinking as possible. And I'd like to defer that question to that point. But I'd also remind you of what we all know is it's a pretty dynamic marketplace, and what we're going to do is we're going to provide as much visibility on what we know and we're going to try to avoid speculating on what we don't know. So you're going to have to stay tuned for I Day for us to give you some more qualitative insights on that.
Operator: We'll go next to Carl McDonald of Citigroup.
Carl McDonald - Citigroup Inc: Could you provide some color on your enrollment assumptions of breaking down between risk experience rate and ASO?
David Cordani: Carl, it's David. First jumping off of 2010, as we referenced, we feel quite good about the results we're able to deliver in 2010. We expect the segment pattern in 2011 to be similar to the segment pattern we saw in 2010 as we continue to see strength in our Select segment, as well as our Middle Market segment. You'd expect because of overall profile, the bulk of our adds would be ASO based and what we're seeing is increasing receptivity and interest in ASO funding arrangements downmarket, specifically in the Select segment. So as we look into 2011, we're continuing to see increasing demand for those transparent products like ASO, as well as our experience-rated portfolio. But the broad tip that I would give you, segments directionally in pattern with 2010. Products similar pattern, maybe a little bias downmarket to a little bit more ASO business in 2011 than we had in 2010.
Carl McDonald - Citigroup Inc: And then separately, where does the pension liability stand at year end? Maybe you could walk through the pieces in terms of the contributions you made market impact and then also the impact of changing some of the assumptions on the discount rate?
Thomas McCarthy: Carl, it's Tom. So net-net, the year-over-year change in the pension liability ended up being about flat. So it started out at about $1.5 billion, it ended up at about $1.5 billion. And as you kind of called out the pieces there, we put a substantial contribution into the pension plan. We also had some better-than-expected investment earnings in the pension plan, exceeded our 8% assumption, offsetting that were both the accretion of the discount of the liability and some true-ups of the liability. But all in, those things all netted out to basically a push. In the third quarter call, we had expected perhaps interest rates would be a little lower and while they're still low, they were not as low as we might have expected. So our discount rate and liability ended up at 5%. So the impact from that was a little less than we might have expected.
Operator: We'll go next to Scott Fidel with Deutsche Bank.
Scott Fidel - Deutsche Bank AG: Can you talk about how much capital do you expect you can free up from the exit from Medicare Private Fee for Service, so in the $1 billion of payables how much would you say was allocated towards Private Fee for Service? And then how much will you allocate for claims run out in the business, so when do you think you might be able to extract that capital?
Thomas McCarthy: Scott, it's Tom. The capital utilization for the business is in the $150 million range, just based on traditional benchmarks. I would expect, obviously, as the premium volume falls off, that capital gets freed up. The claim run off should basically play itself out during the year, so I don't think there'll be any lingering impact on that. I would point out, however, that while we're running that business off, we are growing other businesses, so much of that capital is reinvested to support the growth of our risk business.
Scott Fidel - Deutsche Bank AG: So the net impact will be modest then.
Thomas McCarthy: Likely.
Scott Fidel - Deutsche Bank AG: David, maybe if you want to give us your updated views here on Medicaid and obviously market that. CIGNA has shied away from in the past. Any change in that view, just giving changing dynamics post health reform?
David Cordani: We obviously continue to view the Medicaid market under a variety of scenarios as a base marketplace of -- most probably having some growth. Whether that growth is going to be a spike to a new plateau or continued growth, there's a lot to play out with the way ultimately the legislation unfolds as well as the states’ posture with their programs and budgets. More broadly though to our strategy, we've identified that the three major growth segments in advance of Medicaid that are most attractive to us are broadening our global capabilities, the individual market broadly defined and seniors gladly defined. Now on a prior call, the one nuance I teased out is as the next generation of Medicaid markets unfolds, one, two years down the road as the legislation is being put forth, there could be some similarities between the "new individual market" and a portion of the Medicaid market. In that light, we would see positive opportunity. But as it relates to the -- or call blocking and tackling Medicaid market today, we would put that as a lower priority growth segment for us relative to our strategy and our capabilities than global individual and seniors.
Operator: We'll go next to Doug Simpson with Morgan Stanley.
Doug Simpson - Morgan Stanley: Maybe just to run on some of the discussion around the earlier question, could you just talk about the sort of the repositioning of the National Account business and the sales outlook in the mid market? And just how do you think about the positioning of the company broadly with respect to both scale and the portfolio of assets you have relative to some of the larger players and how are you thinking about that looking out over the next year or two?
David Cordani: Good morning, Doug, it's David. Let me try to capture the theme of your questions then you can redirect accordingly. First, our business strategy, the Go Deep portion of our strategy really orients around depth geographically, depth buying segment and depth by way of product line. So I want to correlate that back across your scale question and then I'll work back to the capabilities and with the National segment and the Middle Market segment. From a scale standpoint, our point of view is that what we refer to as locally relevant share is what matters. Because medical cost of $0.80 or $0.85 on $1 is really the big relevant point. There's clearly other scale but locally relevant share matters. And what we've been able to prove over the last year or two is that by focusing on those key geographies, driving locally relevant share and indeed partnering with physicians and hospitals, we've been able to generate a very good medical cost trajectory and outcome and coupling that with appropriate benefit designs generating good value for employers and individuals. And we will continue to do that. From a capability standpoint, we like the breadth of our capabilities today that we have in terms of service. We're broadening yet even further some of our health advocacy and some of the clinical technology capabilities to engage both individuals and physicians. To date, most of that is organic and investments that we're driving and we will continue to. We'll profile some of that at our I Day. Back to the initial part of your question, on the portfolio, National Accounts, I would remind you that we defined the National Accounts segment differently than all of our competitors. So it's an important definitional difference. We define it as commercial employers with 5,000 or more employees who are multistate. So it's a smaller strike zone than our competition. And in that, we're focused on those employers who are oriented around incentive and engagement-based capabilities that are packaged. So for those buyers who are actually doing quite well, but for those buyers who are not buying packages or incentive-based capabilities, we're again repositioning there. Our Middle Market therefore is defined very broadly. It has traditional 250 to 5,000 employees but large single state business and in both cases, we're doing quite well. And we expect to continue to do quite well as we drive our Go Deep part of our strategy. Let me pause and see if that was helpful.
Doug Simpson - Morgan Stanley: Yes. So as you think about the National Account business, maybe again looking at a year or two, I mean, you would characterize this as a lull in repositioning and you think you can reaccelerate that going forward. Is that a fair assessment?
Thomas McCarthy: As we look at the National Account segment, again, defined what we defined it, we had the repositioning that would take place. Acknowledging that, that marketplace where we defined it is not experiencing employment growth. So in an environment that came to that, we expect to reposition, maintain share broadly, and then take share in those targeted subsegments that orients around incentive and engagement-based capabilities. That's strategically what we're seeking to do.
Operator: We will go next to Peter Costa with Wells Fargo Securities.
Peter Costa - Wells Fargo Securities, LLC: In your guidance on membership, you talked about sort of flattish membership after strategic market exits. Could you describe what those exits would be and sort of the rough size that you're talking about in terms of the membership that would be exiting in what product areas? Tied to Medicare, obviously.
Thomas McCarthy: Peter, it's Tom. Obviously, the largest impact there is in the Medicare Individual Private Fee for Service, and that's about roughly 90,000 numbers. We have a few other things. Some targeted small group things and some small product lines. I'd say another 50,000 or 60,000 numbers on top of that, so the overall impact of about 150,000 numbers we'd expect for the year. The net of that is a flat to 3% outlook for the year is our expectation.
Peter Costa - Wells Fargo Securities, LLC: The 50,000 to 60,000, where is that? Is that selected states or is that selected business products, which ones?
Thomas McCarthy: A little bit of both.
Peter Costa - Wells Fargo Securities, LLC: And then could you talk a little bit more about your cash for the year in terms of what's going to have a higher priority. Do you think you’ll go back to sort of when you used to buy back 500 million shares of stock a year? Or do you think it's going to be more of the pension funding that has to be brought up? Which of those two is going to sort of take precedence for your cash this year? You finally have some cash to use this year. Where do you think it'll go?
Thomas McCarthy: Peter, I think if you look at 2010 and 2011, we had a strong capital and cash position and the deployment strategy remains the same. So first is time reference, internal use which includes the operating subsidiaries, which are fully capitalized today, includes the pension responsibility and includes the VADBe responsibility, et cetera. As we move through that portfolio, then we move to strategic M&A that makes good financial sense. Absent utilizing our free cash, our history shows that we're not going to let it sit around for an elongated period of time. And to that end, our preferred third approach is to return it to the shareholder through share buyback. So I would say no change in strategic direction. And if you look at 2010 is a good example, where we did all three, we deployed against the pension, we deployed against the targeted strategic M&A event, and we deployed again some share repurchase.
Operator: We'll go next to Kevin Fischbeck with Bank of America Merrill Lynch.
Kevin Fischbeck - BofA Merrill Lynch: I was wondering if you could just kind of give us -- you mentioned some of these things during the call. But when we think about the high end of the guidance versus the low end of the guidance, what are the things that you think can push you to the high end or above? Or what are the things that leave you thinking that the low end of the guidance is a conservative place to start?
David Cordani: Kevin, it's David. I'll start and ask Tom to embellish. From a health care standpoint, just comment on each of the operations. From a health care standpoint, really the two items I'd draw your attention to and maybe just tack on a comment of a third. First and foremost, is how the medical cost pattern unfolds. We've referenced the pattern in 2010 as being a bit dampened in expectation for acceleration. Second is the growth pattern we would incur in that both the mix of products, as well as retention versus new business. And then third, in the sort of whether or not we'll be able to secure additional operating expense efficiencies relative to the strategic investments that we have flagged. That all three of those would be the drivers that would push you towards the higher end of the range versus the low end of the range that we referenced. If you look at the Group Insurance business, what you'd be looking at is the emerging pattern of disability claims, disability events. I would remind you that to date, our organizations have done a very good job in terms of managing that. The second lever we would identify probably would be growth and back to the mix of the growth lever. And International, Tom, I think we’d probably point toward the growth indicator as the number 1 driver, followed by loss ratio movement is number 2 and persistency.
Kevin Fischbeck - BofA Merrill Lynch: A few times during the conference call, you've mentioned kind of the seniors being a focus. Can you just kind of give us a sense of where you think about the Medicare business, I guess, strategically long term. Obviously, you’re pulling back in the near term, you've got an agreement with Humana. But where do you see that business going longer term. And then is the comment that you're serving the senior population, is that a comment on the International business, as well? I guess can you -- how do we think about that?
David Cordani: Kevin, it's David again. I appreciate the framing of it. So when we look at the marketplace, both the individual and as we referenced in prepared comments, individuals of all ages, both outside the U.S. and in the U.S. we went [ph] (01:21:48] around the senior, as well as the non-senior, make sure there's products, programs and services. Specific to your question in the U.S., to date, our approach, as you know on Medicare has been to work to ensure we have the products and services that our employer customers need and value for their programs to date. And that's where the Humana alliance actually fits in as a complement to our own PDP activities, et cetera. Now lastly, as we look forward, we think that the Medicare marketplace and the seniors marketplace will continue to evolve. We see Medicare as a good opportunity over the long term, but it's not exclusive to Medicare Advantage nor is it exclusive to Medicare Supp [Supplement] to use today's vernacular. So if you think about the pre-Medicare eligible retirees at 55 to 64-year-old, as well as the Medicare eligible retirees who may be in a Med Advantage or Med Supp program in today's vernacular, we see that as a good strategic direction for us to have a broadened portfolio of services that in addition to employer-related individually based.
Operator: We'll go next to Dave Windley with Jefferies & Company.
David Windley - Jefferies & Company, Inc.: Could you elaborate on your progress in the Vanbreda integration, specifically maybe your transition of some of the contractual relationships there, as well us cross-pollinating some of CIGNA's wellness capabilities?
David Cordani: It's David, good morning. First, we're very pleased with the transition to date, and I draw against a few examples. One, our retention of talent. Vanbreda was and is a very well-ran organization, a highly aligned organization with talented individuals. So retention of the individuals that make up that great company was job one and that's been quite strong. Two, client retention, a good measure of early stage of an acquisition is whether or not there's disruption. Client acquisition is strong. And three, new business generation. Frequently, when you have an acquisition, you disrupt the sales channel, so that continues to move forward. As it relates to going forward, over the next couple of years, a couple of things are going to be transpiring. One is garnering some of the leverage of CIGNA's broader network for the benefit of the Vanbreda population, doing some rewrite of the benefit policies, et cetera. And as part of that, we will also have the opportunity to broaden the programs and services, including the benefits in wellness programs that we're quite good at, is a core part of CIGNA. But that's over the next one- to two-year window.
David Windley - Jefferies & Company, Inc.: Asking the capital question slightly differently, David, you commented to one of the earlier questions that you're very pleased with the capabilities that CIGNA has today. You and the capital priorities are still prioritizing strategic M&A fairly highly. I guess I'm trying to understand in a little bit more detail where you might deploy -- if you are satisfied with capabilities today, where are the holes that you think you need to fill, if any? Or where would you deploy that capital? Or alternatively could we see more or less M&A capital and more share repurchase capital?
David Cordani: Again, we view this marketplace as quite dynamic. We view the marketplace as a marketplace you'll see some additional consolidation. Consolidation transpires that our capability base, as well as skill base and we want to be proactively positioned accordingly. As well as categories of where we see opportunities, back to our strategy, global, we will still continue to look for opportunities on a very targeted basis. Be active globally but our history shows very targeted. Two, individual capabilities that could further broaden our retail portfolio of skills. And three, seniors capabilities. Again, seniors broadly defined. Finally, you might see some tuck-in [ph] (:01:26:06) of health or wellness or lifestyle management capabilities. So again, our portfolio is a strong diversified portfolio today, but as part of our strategy, we will seek opportunities to either further diversify it or further strengthen and scale up on some of those capabilities.
Operator: We'll take our final question from Ana Gupte with Sanford Bernstein.
Ana Gupte - Bernstein Research: The first question is about broker commissions. It seems like you're fairly quiet on this front from broker feedback in terms of just reducing it as a percentage of commission, either the cost structure or even eliminating from the premium line. So can you tell us how you're viewing this in context of your share gain objectives and do brokers care relative to the trade-off on reducing selling costs and the MLR rebates?
David Cordani: Good morning, Ana, it's David. Well I'll start by saying, yes, brokers care indeed, and it's clearly front of mind. Just by way of backdrop, clearly, distribution models and strategies are being impacted and will continue to be impacted by this changing environment. I'd also remind you, maybe part of the comments you may or may not be hearing could be contextual, as well, in that the vast majority of our business is ASO. In the ASO space, in the majority of cases, you have a fee-based relationship. And the fee-based relationship exists between ourselves, the broker consultants, as well as the employer on a very transparent basis. Now having said that, for guaranteed cost or risk business as you might call it, share returns, et cetera, we do see changes. We're evaluating changes. We've executed some changes. I'll give you just one example. The change we've executed is a change and a reduction in the individual guaranteed cost commission structure. But we're continuing to evaluate changes, and it is a dynamic market and you should expect to see more transpiring from us. But just to punctuate that point given that so much of our business is ASO, we show up a little different in many brokers and consultants from a shelf space standpoint.
Ana Gupte - Bernstein Research: Following up on that, on the voluntary segment, you don't disclose that as much now as a percentage of your books. As you're looking at that as a percentage of your existing book in the future growth, to what extent are this annual benefit -- maximum waivers, that were recently granted to into 2011. Is that important for you in getting that extension into 2012?
David Cordani: The waiver and the extension is important, actually, for a very clear reason. The population that orients around the voluntary benefit -- and it's a small subsegment of the overall population. Today broadly speaking, they don't have other alternatives. And until an exchange framework and/or a subsidized different model exists, those individuals would actually be left with little, if no alternatives. So I think the waiver process is actually good constructive response in this from the administration to say if they need a bridge from where the marketplace is today to where the marketplace is desired to be in 2014. So from a positive for maybe 1.5 million Americans who are in those programs at any given point in time, not that we have 1.5 million, but the 1.5 million Americans, it's good to have that bridge in place. And for us, we've been able to put together that bridge for our employer cost clients for their employees and we'd expect to at least through 2014.
Ana Gupte - Bernstein Research: Any reactions to the Aetna Vitality Re deal on health care securitization in terms of how much free capital you want to deploy, the impact on your ratings and the strategic business mix objectives that you have of which growth?
Thomas McCarthy: Ana, it's Tom. Yes, we did think that deal was interesting, and we're working to make sure we understand it and see if it would work in our environment too.
Operator: That being our last question, I'd like to turn the call back to David Cordani for additional or closing comments.
David Cordani: In closing, I want to emphasize several key points about our strategy and our success to date. Our 2010 results were strong with significant contributions from each of our ongoing businesses. We are effectively executing on our growth strategy while maintaining high standards of service and clinical quality as we deliver value to our customers and clients around the world. We have good momentum as we step into 2011, and I am confident in our ability to achieve our full year 2011 strategic, financial and operating goals. And finally, I believe, our diversified portfolio of businesses enables us to effectively meet evolving customer and market needs both today and in the future. I look forward to discussing CIGNA and our growth strategy with you at our Investor Day on March 11, and we thank you for joining our call today.
Operator: Ladies and gentlemen, this concludes CIGNA's Fourth Quarter 2010 Results Review. CIGNA Investor Relations will be available to respond to additional questions shortly. The recording of this conference will be available for 10 business days following this call. You may access the recorded conference by dialing toll free (888) 203-1112 or area code (719) 457-0820. The passcode for the replay is 1403281. Thank you for participating. We will now disconnect.